Operator: Ladies and gentlemen, thank you for standing by and welcome to the SPS Commerce Q2 2020 Earnings Call. At this time, all participant lines are in a listen-only mode. After the speaker presentation there will be a question-and answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Irmina Blaszczyk. You may begin.
Irmina Blaszczyk: Thank you, [Towanda]. Good afternoon, everyone and thank you for joining us on SPS Commerce Second Quarter 2020 Conference Call. We will make certain statements and projections today, including with respect to our expected financial results, go-to-market strategy and efforts designed to increase our traction and penetration with retailers and other customers. These statements and projections are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. We note in particular that uncertainty regarding the impact of COVID-19 pandemic on our performance could cause actual results to differ materially from our projections. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Please refer to our SEC filings, specifically our Form 10-K, as well as our financial results press release we furnished via Form 8-K to the SEC earlier today for a more detailed description of the risk factors that may affect our results. These documents are available at our website spscommerce.com, and at the SEC's website, sec.gov. In addition, we are providing a historical datasheet for easy reference on our Investor Relations section of our website spscommerce.com. During our call today, we will discuss adjusted EBITDA financial measures and non-GAAP earnings per share. In our press release and our filings with the SEC, each of which is posted on our website, you will find additional disclosures regarding these non-GAAP and adjusted EBITDA measures, including reconciliations of these measures with comparable GAAP measures. And with that, I will turn the call over to Archie.
Archie Black: Thanks, Irmina and welcome, everyone. Before I review our second quarter performance, I would like to address two important topics. First, I would like to reflect on the tragedy that took place two months ago in our hometown of Minneapolis and the senseless murder of George Floyd while in police custody. My sympathy and condolences are with George Floyd's family, friends and communities. My heart goes out to everyone that has been impacted and affected by the violent riots that followed this tragic event. It is time to stop turning a blind eye and ignoring the systemic issues that plague our society. I would like to thank all SPS Commerce employees for their commitment to be part of the solution, as we all take action against racial bias, injustice, and inequity. SPS has always embraced diversity, but we recognize that more needs to be done, and we began with the following steps. During the past two months, I hosted discussions with employees and listen intently to their feedback on how we move forward as a company and community. I also formed an advisory group that meets regularly to discuss how SPS can make an impact. In recognition of Juneteenth, all SPS employees received $100 each towards supporting their local black-owned businesses. Together with more than 80 members of the Minnesota business partnership, I signed a letter urging lawmakers to pass policing reform in a special session. We are working with Federal Reserve Federal Reserve President, Neel Kashkari and Justice Page to amend Minnesota’s Constitution to give all children a right to quality education. I am personally committed to addressing the inequities in Minnesota's education system. And as an immediate step, SPS Commerce has started the process to establish a scholarship program for students of color, wishing to pursue a career in technology. The systemic injustice in our country underscores the need for change. The real work is ahead of us, making sure we don't return to what was considered normal. SPS is focused on making that change. The second issue we continue to face is the ongoing pandemic. And SPS Commerce remains committed to customers to ensure they're able to deliver everyday essentials, we all need. The dynamics impacting the retail industry, which we outlined on our last earnings call, continue to play out as we expected. Across our large network of trading partners across diverse end markets, we continue to see a steady volume of transactions. Enablement campaigns are driving ongoing momentum and fulfillment, which was offset by softness in analytics. For the second quarter, revenue grew 10% to $75.6 million, recurring revenue grew 11% and adjusted EBITDA grew 25% to $20.4 million. The current situation requires retailers to navigate the retail industry's new normal. The COVID-19 crisis means a shift from common brick-and-mortar stores, with many shoppers nervous about purchasing products in store. We're seeing an evidence shift to e-commerce sales, with many e-commerce businesses experiencing sizeable growth. To help the brands who ship on behalf of retailers and their e-commerce retail stores, SPS commerce joined forces with our partner Shipfusion. We believe that right partner can make or break a retailer's logistics, customer service and repeat purchases. Shipfusion has multiple fully managed and operated fulfillment centers across the U.S. and Canada, giving brands the best tools possible for building a successful e-commerce operation. Both retailers and suppliers are seeing the need for increased efficiency and automation, underscoring the mission critical nature of the service we provide. For example, Drakes Supermarkets, a leading grocery retailer in Australia pivoted from being supplied by a wholesaler to directly supply its 40 stores. Drakes partnered with SPS Commerce to deploy an EDI strategy and electronically connect with their suppliers through vendor onboarding. EDI provided Drakes with the order and inventory visibility they need to manage a diverse vendor community and keep their shelves stocked. In addition to supply chain automation, EDI improves order fulfillment accuracy, which avoids shipment delays and additional costs associated with inaccurate data entry. Earlier this year, SPS surveyed nearly 200 third party providers about data accuracy. The responses showed a direct correlation between timely and accurate data from customers and their ability to ship accurately and on time. Suppliers’ use 3PL to take on the logistics and fulfillment aspects of their businesses and without proper data, the 3PL cannot perform the task it was hired to do, in the most efficient manner. SPS asked 3PLs what was the one thing they would be doing in 2020 to address 3PL order accuracy. The responses focused on automation, moving clients to EDI or working with customers to increase their use of EDI. As the world's retail network, SPS solutions are responsible for keeping products moving along the retail supply chain for more than 90,000 businesses. We empower retailers, suppliers and logistics firms to embrace today's latest retail trends. Our solutions have received numerous awards, and we have recently been ranked #1 Twin Cities largest software development firm by the Minneapolis St. Paul Business Journal. I am honored to have our local tech teams recognized for all they do. They lead the pack not just in numbers, but also in talent and passion. In summary, the challenge was -- the challenges we have endured this year have impacted our communities, our businesses and our lives. I would like to thank SPS Commerce employees for their ongoing dedication to our customers and our communities. We remain committed to take action and make progress in the years ahead. With that, I'll turn it over to Kim to discuss our financial results.
Kim Nelson: Thanks Archie. We delivered a solid second quarter of 2020. Revenue was $75.6 million, a 10% increase over 2Q of last year and represented our 78th consecutive quarter of revenue growth. Recurring revenue this quarter grew 11% year-over-year. The total number of recurring revenue customers increased 5% year-over-year to approximately 31,500. For Q2, while its share was up 5% year-over-year at approximately $9,100. For the quarter adjusted EBITDA was $20.4 million, compared to $16.4 million in Q2 of last year. We ended the quarter with total cash and investments of approximately $233 million. We also repurchase 7 million of SPS shares in the quarter. Now turning to guidance. For the third quarter of 2020, we expected revenue to be in the range of $76.6 million to $77.1 million. We expect adjusted EBITDA to be in the range of $20.5 million to $21 million. We expect fully diluted earnings per share to be approximately $0.19 to $0.20 with fully diluted weighted average shares outstanding of approximately $36.3 million shares. We expect non-GAAP diluted earnings per share to be approximately $0.32 to $0.33 with stock-based compensation expense of approximately $5.1 million, depreciation expense of approximately $3.5 million, and amortization expense of approximately $1.4 million. As Archie mentioned earlier, the dynamics of the current situation continue to impact our business. We continue to monitor the uncertainties around the duration and magnitude of the pandemic and the impact that a second wave of infections may have on economic activity. We're also taking into account the possibility of continued pressure on retailers, prolonged store closures, and bankruptcies, all of which would negatively impact our business. For the remainder of the year, we expect to see continued softness in analytics. However, the ongoing need for automation across our network continues to drive momentum and fulfillment. As a result, given these dynamics and with two quarters remaining in the year, we are reinstating our annual guidance for 2020. For the full year, we expect revenue to be in the range of $304.1 million to $305.3 million, representing approximately 9% growth over 2019. We expect adjusted EBITDA to be in the range of $82.4 million to $83.5 million, representing 18% to 20% growth over 2019. We expect fully diluted earnings per share to be approximately $0.99 to $1, with fully diluted weighted average shares outstanding of approximately 36.1 million shares. We expect non-GAAP diluted earnings per share to be approximately $1.41 to $1.42, with stock-based compensation expense of approximately $19.6 million, depreciation expense of approximately $13.4 million, and amortization expense of approximately $5.5 million. For the remainder of the year, on a quarterly basis, investors should model a 30% effective tax rate calculated on GAAP pre-tax net earnings. Given our history of strong operating leverage, and the resilience of our SaaS business model, we remain confident in our ability to achieve our long term adjusted EBITDA target of 35%. In summary, we cannot predict the duration and magnitude of the pandemic and its growing impact on the economy. But the challenges the retail industry faces underscore the need for EDI and supply chain automation. With our cloud-native operational model, SPS Commerce is well positioned to continue to provide mission critical solutions and support our customers, our partners and our community. With that, I'd like to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Matt Pfau with William Blair. Your line is open.
Matt Pfau: Hey guys, thanks for taking my question. And nice quarter in a challenging environment. So I wanted to just ask on -- you obviously did better in the quarter than you guided to, and you obviously have enough confidence in the business to reinstate your 2020 guidance. So maybe you can just discuss what's giving you the confidence to reissue guidance. And obviously, you have three more months of data points relative to the last time you issued your earnings release, but maybe you can just sort of discuss what you saw in those data points that's making you feel good about issuing 2020 guidance again?
Kim Nelson: Sure, Matt. So to your point, we do have three more months of data than from our last earnings call. And you may recall a quarter ago, we gave some commentary around different puts and takes. And we have said that community enablement campaigns on the fulfillment side, that's an area that we were seeing more occurring there, as retailers were working to become more electronic in what they are doing as well as trying to source products from different suppliers and moving more online. And we did see that carry forward in the past quarter. We also said that we anticipated that analytics would be a bit softer and that did also carry forward. You may recall we also talked about potential of bankruptcies and churn. That, that was something that we just -- we really didn't know what was going to happen there. I would say on that last one, we're still in and we don't know what's going to happen there. We did not see an increase in churn or bankruptcies in the quarter. But that is something that still may happen in the future, depending on the magnitude or the duration of the pandemic and what that means to store closing. However, knowing that we're now less than six months left of the year, we have nice visibility into this quarter. And then you're really only predicting for the next 90 days after that point. So because of that, we felt like there was enough color in the results that we've seen and our belief of what's in the pipeline and the opportunities that we felt comfortable being able to restate the annual guidance as well as give guidance for the next quarter.
Matt Pfau: Great and just one quick follow-up on that. So on the churn side, obviously, the customer churns in the fourth quarter, it is a much less meaningful impact on the overall results for the year relative to the start of the year. But it sounds like you did perhaps account for some potential pickup in churn, or how did you think about that when you put together your guidance?
Kim Nelson: Sure. So to your point, because of the way the recurring revenue works, should churn increase in, say, Q4, the impact is a relatively nominal impact in the quarter would be a much larger, more significant impact into 2021. So when we established our expectations for the remainder of this year, we took into account what we're seeing in the pipeline as well as some uncertainties such as churn. So we would have taken that into account. But to your point, it's a relatively nominal impact this year compared to the impact that, that would be in the following year.
Matt Pfau: Okay, great. Thanks a lot, guys.
Operator: Thank you. Our next question comes from the line of Scott Berg with Needham & Company. Your line is open.
Scott Berg: Hi, Archie and Kim, congrats on a good quarter here. I guess two questions for me. Archie, can you comment maybe a little bit about your drop ship business in particular? We all know e-commerce is certainly taking a meaningful step-up here in the quarter given the current situation. Did you see any benefit there in terms of customers seeking to potentially employ your solution in that arena?
Archie Black: Yeah, I think there's two areas, Scott. It continues -- our drop ship volume continues to be 2x to 3x, what it was pre-pandemic. So not surprising, what you're seeing is a massive shift to e-commerce. And we believe a substantial portion of that will stick. But -- so we've seen that, and we have seen both retailers and suppliers looking for drop ship solutions. So we've seen that as a continued trend. And getting in the [inaudible], it's been a tailwind.
Scott Berg: Got it, helpful. And then from a follow-up perspective, I know on the Q1 call, Archie, you had called out enablement campaigns in the month of April being strong, especially with Costco, I believe, was the customer example. But maybe a commentary on trends of enablement campaigns throughout the quarter, maybe what you saw in May and June, were they kind of in line with historical trends? Or were there meaningful difference?
Archie Black: Yeah, no, we had a relatively strong enablement quarter. Remember, that enablement campaigns that you roll out in a quarter were sold one or two quarters earlier. So there's a separation between closing enablement campaigns and the actual economic effect of them. But early in the quarter, we saw some customers who want to accelerate, and some who were a little bit deer in the headlights. And I think as the pandemic, as we got into a rhythm after 30, 45 days, people realized we need to move forward. And I think things are positive, and people are recognizing, again, what we had discussed previously, the need to automate the supply chain and that continues to be a [inaudible]. And then we're all trying to -- and do enablement campaigns and those are longer-term sales cycle, but early indications are positive.
Scott Berg: Great, congrats and thanks for taking the questions.
Operator: Thank you. Our next question comes from the line of Koji Ikeda with Oppenheimer. Your line is open.
Chad Schoening: This is Chad Schoening on for Koji. Thanks for taking the question. Wondering if you could touch on kind of the overall resilience of your technology today versus back in the 2008 period? Obviously, this is a pretty disruptive period. So curious to hear kind of what has changed from a technology standpoint that could make your tech more strategic for a retailer now versus back then? Thank you.
Archie Black: Well, compared to 2008, 2009, when we were probably a $20 million business, just about everything has changed. I would say, our tech was strong but we have world-class infrastructure -- infrastructure team is unbelievable. And we are clearly best-in-class. And I think it will show during periods of times like this, where we can do a number of things. One, keep everything going extremely smoothly, but we also have the ability, with our technology infrastructure, to scale up or down needed infrastructure literally within seconds. So I think the reliability, the dependency and then the scalability of the solution is night and day. And as suppliers are looking to make sure they have companies that can operate during this changing and challenging times, I think that can become a strategic -- a more strategic advantage in the sales cycle.
Chad Schoening: Great, thank you.
Operator: Thank you. Our next question comes from the line of Tom Roderick with Stifel. Your line is open.
Tom Roderick: Hi, Kim and Archie, thanks for taking my question. And Archie, I appreciate your thoughts on the social issues. In fact, your community, have well done on taking some proactive measures to get involved. So thanks for that. I guess kind of taking a big picture type of question. As we look at all the supply chain disruption, and it's taking a lot longer to get things from manufacturing facilities, factories over to in-store fulfillment here, would love to hear what your retail partners are doing in real-time to pivot more towards, like you said, e-commerce and let's even just call it multichannel fulfillment. But when you're having your discussions with those retail partners, what are they doing proactively as opposed to, okay, now the orders are coming e-commerce, and we're just going to fulfill them in that regard? What are they doing in terms of their own supplier selection pivoting the way that they're working with their partners? And then how does that impact the way that you have the opportunity from a fulfillment basis to get ahead of it?
Archie Black: Yeah, I think a number of things, Tom, some that affect us and some that don't. Remember, in many cases, the actions that the retailer takes can greatly affect the consumer experience, but it does not affect the way they operate with their supplier. For instance, delivering from stores doesn't affect how they do business with their suppliers. Curbside pickup, we're seeing more of that. That does not affect the way they work with their suppliers. We're seeing a lot of discussion around that, a lot of discussion around wanting to know inventory levels, a lot of discussion from the suppliers figuring out how to source in-country, as they're worried about the tax repercussions with China and other countries and also the speed and resiliency of that. So we're seeing a lot of that. But we're also seeing the ability to retailers really trying to shift and think about their inventory much more holistically, and they need to think of inventory in their stores in the distribution center and at their suppliers. So we're seeing a lot more of that, and that's driving the drop ship. So that allows a retailer, perhaps not as profitably with the drop ship, but keeping the customers, and the customer experience, I think is much more front and center right now.
Tom Roderick: Yes, fantastic. And then just relative to some of the comments and concerns relative to the analytics sector. So still holding in there pretty well and it seems like this would be sort of the technology that you might worry a little bit more about churn if in-store retail doesn't recover but perhaps you can kind of refresh us as to how the traffic and point-of-sale analysis impacts your purchasing decisions and where those are coming from? Because, again, it sort of looks like analytics is holding in there relative to what you would worry about?
Archie Black: Yes, I think there's some arguments that you could make the argument to suppliers that this is more strategic now than ever before. And I think to those that are using it heavily, that is the case. So we're seeing that. I think where we see issues is, as people are needing to make cost adjustments within their business, if they need to do that, things are very much under scrutiny. So they're heavily using analytics, and it's baked into their operations, then we feel pretty good about retaining the customers. If they really haven't operationalized the use of the analytics product, and that's what our -- I think our analytics team does a fantastic job and has really had a focus over the last few years on really making sure we're tracking usage and making sure those customers are trained and using the product as much as they can. So it is a discretionary spent. We believe it's a very strategic spent. But it's only strategic if you really are using it. One of the things we're just finding in general is customers are scrutinizing all of their spent. And I would assume this is across all vendors and saying, if we're not really using it, we shouldn't continue paying for it. And that's just a normal flight during uncertain or challenging times. And we do that at SPS Commerce. Things go a little bit more under scrutiny in times like this. So I think that's a natural trend.
Tom Roderick: Yeah, one last quickly, just if you don't mind. I think a lot of companies are getting the question of, okay, second quarter was better than you had feared. But how is the outlook sort of shape up? And in particular, how is the pipeline building coming along? And what do you have for thoughts on that? I know you have a typically a shorter sales cycle and a highly efficient sales model. But would love to hear what you're hearing for sort of top of the funnel pipeline for generation to refill the bucket?
Archie Black: Yeah, no, we feel things are -- again, we do -- with the community enablement campaigns, I would say those sales cycles continue to be equivalent, if not better. Demand gen from search engine optimization or paid search, that's actually interesting, is the fact that leads have shrunk but the quality has gone up. So people only search if they're ready to buy. So I think that's actually -- in some ways, a positive, in some ways a negative. The end result is positive in the fact that you are working with less prospects to get the same output. And then the bigger deals are starting to come back around. We saw pretty decent on fulfillment, people are realizing that they need to automate their supply chains and make that more efficient.
Tom Roderick: Fantastic, really good. Appreciate it. Thanks, guys. Nice job.
Operator: Thank you. Our next question comes from the line of Pat Walravens with JMP Securities. Your line is open.
Pat Walravens: Oh, great, thank you. So two questions. First of all, if I look back to the factors that you pointed to on the negative side last quarter, Archie and Kim, you talked about closures, bankruptcies, analytics and ERP migration. So we talked about bankruptcies and analytics, but I'm wondering on closures and ERP migrations, what's going on? And in particular, your data on closures must be really interesting. So I mean, can you tell what percentage of the stores on your network, have not been open for business?
Archie Black: We can retailer by retailer. I don't have an aggregate number for you, Pat. The biggest thing that affects us is if a retailer actually goes out of business. A retailer going from 500 stores to 200 stores, it's a fairly minimal impact unless their assortment is going down, unless there are a number of suppliers. So depending on the category, if it's grocery, which we haven't seen closures.
Pat Walravens: No.
Archie Black: That would probably have more of an impact because it is regionalized, but that is not a significant impact on us.
Pat Walravens: Great and ERP migrations, is there anything there that was worth calling out?
Archie Black: Yeah, we -- I mean we've seen that slow down. But it seems more -- more similar to the past. Now remember, there's some times where we are getting the deal right when they sign to go with a new ERP and sometimes, we're trailing. So we're not the best indicator early on. It's when they start to migrate or halfway through the implementation, depending on the ERP system. But we haven't seen a major change there yet. And now whether they will be going down the road, you probably know the ERP and how they're doing, better than I do.
Pat Walravens: Yeah, well, they've actually -- surprisingly, they've actually been doing all right. Yeah, so then my other question was just sort of practically, are -- anywhere in the world, do you have people back in the office and are -- is anything happening in person? Or is everything 100% remote for SPS Commerce?
Archie Black: Most of our offices are open because we are critical. We are completely work-from-home optional and we've made very clear that that is truly work-from-home optional. So I would tell you in the Minneapolis office, on any given day, there's an average of 2% to 4% of employees are in for some reason.
Pat Walravens: Yeah.
Archie Black: Perhaps they have a big meeting, and they don't have great internet at their house. They need to print some things, they don't have great printing capabilities or that they just want a better work environment, so it's pretty minimal. Obviously, the help -- our help desk, which has been phenomenal, they come in. So if you have a laptop issue, you can go to the help desk bar and get your things fixed. So there's a few people in, but it's not a collaborative work environment, I wouldn't say that.
Pat Walravens: Yeah. All right, great. Thank you, Archie. Thank you, Kim.
Archie Black: Thanks Pat.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Joe Vruwink with Baird. Your line is open.
Joe Vruwink: Great. Hello, everyone. I was curious in thinking about the composition of your growth going forward. There's clearly a lot of interest in getting new suppliers qualified, and it actually seems like, I don't know if you agree, the end market commentary on that sort of thing seems to be broadening. So you know, industrial distributors, grocery is less of a surprise but it seems like a lot of end markets are still on the same boat. So that would seem good for expanding the audience, perhaps. But I was wondering and thinking, going forward, if that's maybe good for getting customer counts up? As you look maybe a few quarters out, would your expectation be that maybe the wallet share contribution begins to pick up as these new customers begin to realize the virtue of the network. And maybe that comment, I'll hedge it on kind of the fulfillment product, if you can grow wallet. And then obviously, with analytics, that's maybe a different conversation, but just your thoughts there?
Kim Nelson: Sure, Joe. So with our business model, we actually are fortunate in the fact that we have been able to continue to add customers or grow that customer count as well as grow what that wallet share is or that average recurring revenue per recurring revenue customer. This past quarter, they were both 5%, so equal weighted to our overall. In any given quarter or any given year, sometimes 1% -- or maybe 1% or 2% different than the other but what is common is that both of them are meaningful contributors to our overall recurring revenue growth. What tends to have the biggest impact in that customer count is highly correlated to those community campaigns -- community-enablement campaigns. And so when we have a quarter where we have strong amount of community-enablement campaigns, you'll usually then see a higher increase in our net customer adds. So for this quarter, for example, our customer adds was 458, so that was up when you look at it from a sequential basis or if you look at it from an absolute -- from a year-over-year basis. It was a very -- you know, it was very healthy, very nice quarter. What tends to happen is the largest quantity of customers we get from a community-enablement campaign, tend to be smaller customers initially. Some of them, for example, may not have been doing anything EDI before. Some may, but not a huge amount. And what typically then happens is, over time, that revenue we get from those customers, naturally grows over time. So what's great about our business model is both are solid contributors, both are extremely important to our overall recurring revenue. But what you sometimes see is if you have a high community-enablement campaign quarter, you're going to see more of that in the customer count and a little bit less than that wallet share or then the inverse, if you have a quarter that has a little bit less on the community enablement. So our belief is that going forward, both will continue to be very solid, strong contributors to our overall recurring revenue. And we believe that long term, we have a total addressable market that's at least $5 billion, which translates into ample opportunity for getting more and more customers and getting more and more revenue from those customers.
Joe Vruwink: Okay. And there's nothing about what you've seen over the last couple of months or in thinking about how the second half is forecasted to say that the basic structure of what you've outlined in the past, there's going to be any difference in the next quarter or two, just thinking about the composition of your growth?
Kim Nelson: There's nothing unique as it relates to a particular quarter or the back half of the year that we would think would be an outlier. If we happen to get significant increase in churn or bankruptcies, that would have an impact on the average revenue per customer and then somewhat of an impact on the customer number.
Joe Vruwink: And then if I can squeeze one more in. I did want to ask whether collection activity this quarter was better or worse or about in line relative to your expectations? I see the reserves went up a bit sequentially, nothing alarming, but curious on your thoughts there.
Kim Nelson: Sure. So the accounts receivable balance and the DSO did go up a little bit sequentially, as some of our customers just taking a little bit longer to pay, nothing really of concern or nothing of note there.
Joe Vruwink: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Van Rhee with Craig-Hallum. Your line is open.
Rudy Kessinger: This is Rudy on for Jeff. Most of my questions have been answered but just wanted to circle back to the pipeline for a second. Just curious if there's anything more you can share in terms of what you're seeing maybe upmarket, downmarket, verticals, just relative to where it was maybe pre-COVID. Just curious what all -- if any more color you could share on the pipe.
Archie Black: I would say not drastically different. I'd say the only thing that's different is, there can be different dynamics within companies that perhaps they have so much business and so much activity, they don't have time to take a breath. So they might be slowing down and then some of the other companies have some capacity, they're more likely to speed up and prioritize things. That's around the edges though, so don't read into that too heavily. But there are some things around the edges. But I wouldn't say it's drastically different other than as we discuss between fulfillment and analytics.
Rudy Kessinger: Great, thanks. That's it for me.
Operator: I'm now showing no further questions in the queue. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.